Søren Skou: Good morning, everybody and thank you all for joining us today as we discuss our Third Quarter 2022 Results and our outlook for the rest of the year. My name is Søren Skou. I am the CEO of A.P. Møller - Maersk and I am joined today by our CFO, Patrick Jany. So today, we are pleased to deliver yet another quarter, the 16th in a row, with year-on-year earnings growth. The result this quarter – results this quarter were up slightly more than $1 billion on the revenue line and $500 million on the EBIT line compared to the second quarter, our previous record result. On an EBIT basis, this was a record across all the segments, driven by strengths in Ocean contracts and rates as well as continued growth in Logistics and a steady value creation in our Terminals business. We kept up the pace of execution of our integrated strategy with 60% growth in Logistics and closing on our largest acquisition to date, in that space, LF Logistics. That said, over the quarter, we observed the start of the long expected normalization in Ocean. As a result of increasing inflation and economic slowdown, demand for Ocean shipping began to decline in August, and this was clearly observed in both rates and volumes. The positive aspect of this normalization is that the lower demand will allow global supply chains to progressively improve, even if it still remains elevated in some geographies and it will certainly also help Maersk deliver a more reliable service in Ocean, which is what we aim to do. Nonetheless, and despite this weakening economic outlook, we reconfirm our guidance for the financial year 2022. Now turning to Page 5, for our typical transformation highlights. Starting with Ocean, in the first 9 months of the year, our Ocean business has seen 7% lower volumes, evenly spread between contracts and shipments. Average expected full year contract rates are now slightly lower than what we expected in August when we reported Q2. This is the result of mix effect, where greater volume decline has been experienced in the highest trade lanes. Clearly, this is on the major east-west routes, where we experienced 10% lower volumes in Q3 compared to the third quarter in 2021. I know there has been a lot of talk about customer contract behavior, but the reality is that the vast majority of our contracts sold and our contract portfolio has performed as expected. But when the customers themselves suffer, the effects of economic decline, volumes can’t be conjured out of the thin air. This is where the partnership we have with our customers counts the most, and we continue to work with them to provide additional flexibility and space to help manage the volatility in their supply chains. As we look into the final quarter of the year, we are confident in our relationship with the customers, but none of us can escape the reality of lower volumes driven by lower end customer demand. As you know, one of our key goals of our strategic transformation is to break away from the cyclicality of the shipping industry and the commoditized nature of traditional container shipping. We remain convinced that creating closer relationship with customers and maintaining an intense focus on their needs is the way to do so. This is not a fast and easy journey, but along the way, we have not forgotten what enabled us to successfully weather the cycles in the past and today is no different. We will stay the course, and we will complete the transformation to a global logistics company offering fully integrated, differentiated and end-to-end products and services. Turning to Logistics, the driver of our integrated strategy. We continued our trajectory of rapid profitable growth. I’m quite pleased with the growth in Logistics, which is several times market growth driven mainly by customers’ wins and business volumes and not by rate increases. Customers are clearly buying into our Transported by Maersk, Fulfilled by Maersk and Managed by Maersk value propositions in a big way. Organic growth – revenue growth was 26% this quarter, and our strategy to offer our suite of Logistics products and services to our top 200 customers continues to be the main driver with 80% of the organic growth coming from these customers. With revenue coming in at $4.2 billion in the quarter, we now have an annualized run rate of almost $17 billion in Logistics, and that’s only including 1 month of LF revenue in September. We are well on the way towards a significant market position in the Logistics industry. And at some point in this decade, probably around the middle of the decade, we expect our Logistics revenue to surpass that of Ocean. Our lead logistics, customer progress and contract logistics businesses all contributed positively to the growth, demonstrating the value creation and commercial synergies we enjoy as we integrate acquired businesses, such as Performance Team Vandegrift and KGH into our existing portfolio of Logistics products. 2022 has been an active year for closing on larger acquisitions, and we are very pleased that we could bring in LF Logistics this quarter, and I’ll come back to that in more detail later. Finishing up on Terminals, we had another excellent quarter, demonstrating resilient performance at a very high level. Here, we also see the expected impact of easing port congestions on congestion-related storage revenue. Nonetheless, even taking a future full normalization into account, and once we analyze the impairment of our Russian activities, we expect the business to generate a very stable and attractive returns well above its cost of capital. On Slide 6, we track our transformation KPIs on our road map to 2025 as announced at our Capital Markets Day last year. All the KPIs are where we want to see them with the Terminals return on invested capital well ahead on an underlying basis, as I just mentioned. Last quarter, we touched upon the logic we applied to our M&A strategy and how we think about synergies, in particular, commercial and revenue synergies as our M&A strategy is driven by acquisition of capabilities, not cost cutting. This quarter, we closed on LF Logistics, marking a key milestone in our journey to become the global integrator of container logistics. This acquisition adds another 3.1 million square meters of warehouse space, nearly doubling our warehousing footprint and making us a truly global player in this space. LF has outstanding capabilities in omnichannel fulfillment and therefore adds not only the exposure to Asian geographies, but also new capabilities to our Logistics toolbox capabilities that we can use for global expansion. The first step together is to focus on absorbing and integrating the skills and capabilities as we seek to replicate our success with the previous acquisitions, such as Performance Team. If I may refer to our presentation last quarter, we demonstrated that in the 2 years following acquisition, we successfully leveraged the Performance Team business model to our existing customer base and created 160% revenue growth for PT over the period. This is exactly what we intend to do with LF. And even though this is early days, we have very promising demand and indications from customers who would like us to see – who would like to see LF’s business model replicated in new geographies and markets. So you should stay tuned for developments in this space. From a financial perspective, the acquired revenue streams are in line with or at the time – with what we expected at the time of announcement. And it will add more than $1 billion to turnover in 2023 and also, as we expected, be accretive to earnings in 2023. Now moving to Slide 8 to briefly touch upon sustainability, we have very recently announced the order of further 6 dual-fuel green methanol-enabled ships – containerships. As we maintain our commitment to a fleet size of 4.3 million TEUs, all of these vessels are intended to replace existing capacity. The vessels will be delivered starting next year with the bulk coming online in 2025, and they are expected to generate emission savings of around 2.3 million tons, equivalent to slightly over 6% of our Scope 1 emissions in 2021. As we all know, as society, we are just at the beginning of this journey, but Maersk is committed to making a tangible impact in this decade. Our investment into green methanol-enabled ships is one aspect, but I’m also pleased to see the progress of our ECO Delivery product, which is based on drop-in biodiesel. The growth trajectory continues with volumes up 4x compared to the third quarter last year and now representing close to 3% of our Ocean volumes and demonstrating that there is a clear demand signal from our customers for green Logistics products. I believe we have a credible tangible roadmap to meet our decarbonization goals in 2030 and 2040 and just as importantly, help our customers to meet theirs. So I’m very much looking forward to discussing this strategy in detail at our ESG Investor Day, which is taking place in 3 weeks, on the November 22. I invite you all to go to our IR website and register for the event and even ask your questions in advance. Now before I hand over to Patrick on Slide 9, you will find our guidance for 2022, which we basically reiterate today despite the clear deterioration in the economic environment. Looking back to August when we announced upgraded guidance, we anticipated normalization to begin in the fourth quarter this year after having spent the first half expected the normalization to start sometime in July. As we can see from the direction of freight rates since August, there is no crystal ball to predict timing precisely, but we have been anticipating normalization for quite some time. And therefore, we are prepared to meet it. Based on what we have observed in the first 9 months of the year, we are pulling back our outlook for the industry and now expect global container demand to decline by 2% to 4% in 2022. From the global market data, we can all observe it should be clear that risks are to the downside going forward. Our CapEx for 2022 and ‘23 remains unchanged as we have a strong balance sheet and remain firmly committed to investing in organic growth, primarily in Logistics as well as our decarbonization agenda. On the right-hand side of this page, our 2022 agenda items also remain unchanged, and we have served as – they have served as an excellent guide throughout the year. Our business and our employees continue to deliver on challenging targets, and I’m pleased to recognize their dedication and consistent effort. And with that, let me hand over to Patrick.
Patrick Jany: Thank you, Søren, and welcome to the call from my side. Let’s start with the next slide for the financial highlights of the quarter, and indeed is a really great set of numbers. As Søren just said, Q3 again hit records across all performance metrics, starting with revenue growth of 37% to $22.8 billion. In line with the first half, higher freight rates in Ocean were the main contributor of higher profitability, but higher volumes and rates in Logistics & Services and Terminals also contributed to the excellent revenue performance. We again achieved a record quarterly profit level with an EBIT of $9.5 billion, more than doubling the previous year number of $5.8 billion, and leading to a new record net result of $8.9 billion for the quarter. Cumulatively, we have achieved a record 9-month result of $24.3 billion. This continued high profitability also increases returns, generating tremendous value generation, both in terms of increased ROIC coming just in a shade over 66% and cash flow, with a free cash flow generation of $7.8 billion in Q3, leaving us with a significant cash position at the end of the quarter of $22.9 billion, the details of which I will cover a bit later. Looking at our cash generation in detail on Slide 12, we see that our typical cash flow waterfall starts with a significant operating cash flow of $9.4 billion, which is equivalent to a cash conversion of 87%. This conversion is a step back from the previous year quarter, but a sequential improvement as working capital increased across all segments. Our gross CapEx of $905 million was in a slight decline, but this decline sequentially is due to timing and we are well on track with our expectations. The main drivers here were aircraft, equipment investments and automation as we modernize hubs and gateways. This resulted in a free cash flow of $7.8 billion, of which, this quarter, $3.2 billion went towards the closing of LF Logistics, offset by the proceeds of the sale of GPI. In addition, a further $800 million was distributed in the form of share buybacks. From a year-to-date point of view, this brings our spend on acquisition to $4.5 billion this year, our total share buyback to $2.1 billion and total returns to shareholders, including dividend to $8.8 billion. Despite the significant use of cash, we do maintain a solid cash position and a strong balance sheet as is shown on Slide 13. Last quarter, I highlighted that we had some of cash and short-term deposits of $19.2 billion. And since then, we have received a number of requests to make the number more visible, which means without requiring further calculation. We have, therefore, compiled the following table, which runs through the numbers as they are reported in our accounts, including the notes on Page 23 and 26 of the report. This classic table really shows the significant increase of our total cash position to $22.9 billion, including short-term deposits, and also leads to the net interest-bearing debt when gross debt is subtracted. This clearly leaves us with a very strong balance sheet with ample financial headroom. This is a good position to be in. As we enter a period of economic weakness, uncertainty and a clear normalization notion, it gives us comfort to be well positioned to continue to invest over multiple years, and irrespective of the difficult economic environment ahead in our integrated strategy with focus on growth, automation and decarbonization. The order of priorities has not changed. We will continue to invest first in organic growth, then as well in potential M&A, while keeping in mind our commitment to shareholder returns. As a reminder, last quarter, we increased our share buyback program to a sum of $3 billion annually until 2025. Now our dividend payout policy remains unchanged. Those elements will provide significant returns on top of the exceptional amounts already returned in 2022. Now let us turn to the development in each of our segments, starting with Ocean on Slide 14. As Søren mentioned earlier, halfway through the third quarter, we began to see the long expected normalization of freight rates. Nevertheless, average rates are still well above previous year, and our success in signing contracts carried us through the quarter. As a result of weakening end consumer demand, we saw volumes decline by 7.6% with an acceleration of the decline during the quarter. It is worth noting that earlier in the year the felt lower volumes were clearly a result of global congestions, whereas in the third quarter, they were primarily demand-driven. As in prior quarters, the higher rates were more than offset the increased cost of bunker and container handling costs, allowing for strong profitability. EBITDA and EBIT remained extremely strong, but sequential and year-on-year growth rates slowed, and we have now seen the peak in extraordinary earnings. In terms of EBIT and EBITDA margins, profits actually were on par with previous quarter. And based on our full year guidance, we clearly anticipate those metrics to decrease. On Slide 15, we show the movement of the individual levers with a strong positive impact of the freight rates, clearly visible, although lower sequentially. This was complemented by the release of revenue recognition, which is found in other revenue. And that offset lower volumes, higher bunker prices as well as higher container handling and network costs. Moving on to Slide 16, we see that our average freight rate was up nearly 42%, but the rate of change has slowed versus prior quarters and is essentially flat on a sequential basis. Based on the current market situation, we expect this to decline going forward with a pronounced deterioration of the shipment rates as the long-awaited normalization has started. Remember that we are also back in our annual contract negotiation cycle and that new contracts going forward will be negotiated with current spot rates as a reference. While we are confident in achieving our ‘22 guidance, and we will not, as usual, give any guidance for 2023 until February, it is prudent to assume that new contracts, which go into effect next year, will reflect this mechanism. Despite lower volumes, the split between contracts and shipments did not change as volumes declined in proportion, and we continue to have stable volumes on multiyear contracts at 1.9 million FFEs. Shifting the discussion over to Ocean costs on Slide 17. Bunker remains the primary cost driver this year with a percentage increase of 69%, remaining stable on a sequential basis. It was also partially offset by a 4.8% lower consumption in the quarter. Other costs increased by 7.9% compared to a year ago, which combined to the lower volumes led to a 16% increase in unit costs at fixed bunker. As we communicated last quarter, we now expect that much of the cost improvement from lower congestions will be absorbed by inflationary pressure as we go along. That said, we have taken steps to actively manage our costs, and this will help to minimize inflation in 2023. Turning now to Logistics & Services on Slide 18. Revenue growth continued at a high level of 61%, clearly supported by our acquisitions, but with a strong underlying 26% organic growth. Here, we also see a sound progression of profitability. All the margins were lower with some softening of the EBIT margins given the ramp-up costs in certain areas, which we see now in detail on Slide 19. In Managed by Mærsk, we were pleased to see that new contract wins translate into higher volumes in both lead logistics and customs brokerage, but we also saw some softness in activity given the higher inventories and economic slowdown in the U.S., which affected margins. For Fulfilled by Mærsk, revenue grew by 67%, partly driven by the consolidation of LF Logistics, which added $88 million revenue in this quarter, but also the opening of 21 new warehouses. As this ramp, we do see some temporary pressure on margins as well as the effect of lower demand for e-commerce services in the U.S. Finally, in Transported by Mærsk, revenue growth accelerated to 59% as intermodal had a strong quarter, and we had the full quarter consolidation of Pilot and Senator, which added jointly $750 million in revenues this quarter and also contributed positively to the margin development. On Slide 20, we turn to Terminals, which delivered another very strong quarter, driven as previously by higher rates, higher volumes and storage-related revenue. This quarter, we were again able to compensate for inflationary pressure via tariff increases and storage revenues. As global congestions eases, we would expect the extraordinary storage income to progressively come down and normalize. That said, we are very confident of the ability of the segment to deliver resilient returns. As previously noted, even without extraordinary storage revenues, Terminals ROIC remains above the target 9% once adjusting for the impairment in our Russian activities. Speaking of which, we were able to recover some of the impairment upon the sale of our stake in GPI earlier this quarter to our long-standing partner dealer group. The reversal effect in the quarter is mostly offset by FX effects and other impairments. Taking a look at the details of Terminals on Slide 21. We see that volumes demonstrate a steady increase in demand and were up 1.5%, or actually 3% on a like-for-like basis when adjusting for exits and expiring concessions. This is very much in line with what we have observed for the first 9 months of the year. The average utilization increased to 81%, not only growing year-on-year, but a 2 percent point sequential increase and yet another bit of evidence of global congestions is easing, and the flow of goods is improving. As the EBIT average for Gateway terminals show, this volume increase, combined with tariff increases allowed the revenue per move to offset the higher cost base, leading to an EBITDA of $391 million, a 3.4% increase compared to prior year quarter. To finish up on Slide 22, let’s look at our main drivers of our Towage & Maritime Services segment. Segment revenues grew 22%, primarily driven by a strong performance of Mærsk Supply Services with 36% growth, benefiting from increased project and time charter activity, while Towage still had a good growth at 10%. In this quarter, we saw a positive effect of the TMS EBIT from the increased performance of Mærsk Supply Services and from a positive mark-to-market of our financial participation in Höegh Autoliners. This ends our segment review, and I would like to hand over to the operator for the Q&A session.
Operator: [Operator Instructions] And our first question today is from the line of Cristian Nedelcu from UBS. Please go ahead.
Cristian Nedelcu: Hi, thank you very much for taking my question. It’s about operational capacity in the Ocean division. So you have 4.3 million TEUs operational capacity in Q3. Can you offer some color in terms of how much capacity you are willing to take out of the network in Q4 and in early 2023, and maybe what you’re seeing from your large competitors in terms of capacity adjustments to going forward? Thank you.
Søren Skou: Well, we aim to deploy the capacity that is needed to serve our customers the demand that’s out there and not more than that. So we will – if demand drops, then we will take capacity out to – in that same percentage. And as far as the whole market is concerned, obviously, every carrier will do what they think is right. But I note that both in the Pacific trade and in Asia-Europe trade, around 15% of the capacity has come out now. So one could expect that you’ll see more capacity adjustment to meet demand in the coming quarters, at least that will be our strategy.
Operator: The next question is from the line of Sam Bland from JPMorgan. Please go ahead.
Sam Bland: Thanks for taking the question. I just have one, please. It goes back to sort of more midterm guidance. I think previously, the – if you look at Ocean, the EBIT margin assumption was, I think, at least 6% under any market circumstances. I guess I’d just basically ask, with the sort of normalization that we’re seeing today, any particular reason to think that, that doesn’t still hold? Or are you still happy with that guidance? Thank you.
Patrick Jany: Yes. Thanks, Sam. In our Capital Markets Day, we highlighted that we obviously want to see more solid and stable Ocean on which to base our integrated strategy. And we would seek profitability of – in terms of EBIT for Ocean of at least 6% under normalized conditions, right? And that is important that obviously, during normalization, things can go wild on the upside or on the downside. I think what is important here is, when situation normalizes that we expect, and we continue to expect absolutely, to be able to generate good returns in Ocean as we go forward.
Operator: The next question is from the line of Lars Heindorff from Nordea. Please go ahead.
Lars Heindorff: Thank you. One for my thought as well. It’s regarding the volumes. Now you forecast market growth this year of around about minus 2 to minus 4, so midpoint, minus 3. So far this year, you’ve been reporting minus, I think, 7.2. So you’re growing quite a bit below the market. Do you expect that to continue into the fourth quarter? Or do you expect to end up with the growth, which is similar to the market growth? That’s part of the question. And then also maybe – I mean what is the reason why you are growing less than the market?
Søren Skou: So obviously, when we talk about the global market, we include also the intra-Asia market, which is the single largest market in the world. And there, we are clearly on the way. There are many, many small carriers. If you look at the large global carriers, they are much more exposed on average to the east-west trades and through the long-haul routes. And I think that’s part of the reason. If you look at those that have reported this week, Costco were down 8% for the quarter in volumes and O&E was down 10%. So we figure that we are growing more or less in line with what the long-haul carriers are growing. But let me also add to that, that I think we have to be crystal clear with our strategy here. I mean our strategy is not to gain market share in Ocean. It is to gain share in our customers’ wallet of logistics spend. So, we now have a revenue per Ocean container in Logistics, which is quite significant, and we couldn’t expect to continue to grow that side of the business significantly faster than the market also and despite of a slowdown. So yes, we’re not really defining ourselves anymore in terms of volumes in Ocean. It’s important, and we need to have good volumes to have a competitive network, but it’s not the 0.5 percentage point of market share that is going to get us very excited.
Operator: The next question is from the line of Sathish Sivakumar from Citi. Please go ahead.
Sathish Sivakumar: Thank you. I’ve got one question, and it’s regarding the Logistics. If I look at Pilot, Senator and LF Logistics side, what has been the customer churn during the process of integration? And in terms of the growth that you have seen so far, what has like the split between the increase in the wallet share from existing customers versus the new customer wins? Thank you.
Søren Skou: So let me start with the latter question first. I mean, we are clearly growing in Logistics with our top 200 customers in Ocean. So 80% of the organic – or 80% of the growth that we saw in the past quarter was actually Logistics growth with our largest customers in Ocean. And that means in my book that we see a very, very strong buy-in into the vision of providing integrated and end-to-end in Logistics. Our customers are clearly buying into the journey that we are on, and it’s across both the transported product – Transported by Mærsk. It’s across the fulfillment products and across the supply chain management products and lead logistics products that we offer. In terms of customer churn, I don’t have a number, but what I can say it cannot have been much because we – pretty much all of the companies we have acquired, we’ve seen massive growth in the top line as we have been able to take those products and capabilities of the acquired companies and sell them to all of our 70,000 Ocean customers.
Operator: The next question is from the line of Ulrik Bak from SEB. Please go ahead.
Ulrik Bak: Hi, yes. Thank you. A question on your contract rate, you stated that the driver for the decline compared to what’s communicated at Q2 is driven by lower volumes and higher rate trade lane. But how much of this change is related to Q3 volume shift? And how much is this to Q4? And also related to the lower volumes, would you know if that is only a result of lower demand or if customers are simply shifting a part of their volume to the spot market?
Søren Skou: Yes. To the latter question, the answer is yes, we would clearly know. We experienced that we have a very, very strong partnership with our customers and those that have signed long-term contracts, and we have an honest and honest dialogue. You have to remember, we’re also doing with most of them, lots of other business on the Logistics side. So we would clearly know. I’m not 100% sure I understood the first part of the question. But Patrick, will you give that a shot? Thanks.
Patrick Jany: Yes, sure. So indeed, as you all noticed, we reduced our guidance for the increase in contract rate for the year from $1,900 per FFE to $1,700. And that indeed comes from the fact that actually in the current economic environment, we see lower volumes. And the lower volumes from our customers are principally in the lines, which are – have had the higher prices. And therefore, you have a difference in mix there, which comes down. And this erosion, as you questioned, already has started a bit in Q3 and is then more pronounced in Q4. Right now, what we have seen in the quarter is actually that our contractors have held up pretty well on a slight slide down because of this volume effect, but the shipment rates have come down, as you all see from the indices, right, pretty drastically. We would expect this slide in our contract rate because of those volumes to continue in Q4 and that implies as well, basically the lower guidance that we have for Q4 when we reach our guidance.
Operator: The next question is from the line of Muneeba Kayani from Bank of America. Please go ahead.
Muneeba Kayani: Hi, good morning. I wanted to follow-up on your comment earlier on unit costs. So they are about 30% higher from 2019 levels. Can you kind of help us understand where you expect them to settle next year as congestion unwinds and inflation impact comes through, and specifically, on the charter cost side, how should we think about the charter costs next year?
Patrick Jany: Yes. So indeed, we have seen an increase in fixed cost – or unit cost by fixed bunker is quite significant. But as we also mentioned in the report, it comes from the lower volumes as well, right? So you have to look at the total cost block because we would expect then the volumes going forward to recover as well, right? So from that point of view, the unit cost is always biased by an increased cost position, but also by the volume evolution. If you look at the actual costs, like we guided as well last quarter, we would expect that some position will come down in terms of container handling and so on that will settle now. That congestion is actually being resolved progressively, still happening in some parts of the world, but it’s getting better, while you will certainly see terminal costs and charter – time charter costs still continue to be high. That is clear that Terminals will continue to have a high cost base and, for instance, our own Terminals business will certainly not decrease prices next year, but will, as it has successfully done as well passed on inflation to its customers. And from the time charter point of view, as you know, in the last 2 years where the market was very tight, we have gone for longer time charter agreements, which means that this cost position will only progressively erode in a ‘24, ‘25 time frame, but will pretty much be quite elevated still in 2023.
Operator: The next question is from the line of Dan Togo Jensen from Carnegie Bank. Please go ahead.
Dan Togo Jensen: Yes. Thank you. I just wanted to understand a bit in the dynamics in your guidance because we did see an early normalization during Q3 with a huge impact on rates. And now you got down for volumes as well for the market as a total. Why are we not seeing a sort of say, a reduced guidance from $37 billion? What is compensating? Could you elaborate a bit on that? Thanks.
Søren Skou: But then, I mean, we guided in August. And I think at that time, we guided $37 billion – around $37 billion EBITDA, and that’s what we still believe in. At the time, we said we – that was based on normalization early in the fourth quarter, and now it came in the middle of the third quarter, but I mean – and we’ve done well on our contracts portfolio. I mean if you look at our rates, I mean, we have higher rates in the third quarter than we had in the second quarter. So – and demonstrating the value of the strategy that we have had in terms of signing up lots of contracts, and that’s what we assume. When we guided in August, we assumed that the contract portfolio, by and large, would perform. It’s performed slightly better on freight and rates and slightly less on volumes. But on the whole, I think we were comfortable with the guidance in August, and we are still comfortable with it.
Operator: The next question is from the line of Robert Joynson from BNP Paribas Exane. Please go ahead.
Robert Joynson: Good morning, everybody. Just one question from me on disclosure, please, you provided a table on Slide 13 of the presentation, which calculates total cash and deposits, which includes the $14.6 billion of term deposits, and that’s definitely helpful. But in the balance sheet reported in the accounts, the format remains unchanged in terms of reporting cash and bank balances without the term deposits and then including the term deposits in the receivables line now, but hopefully, I am wrong on this, but I suspect that what we will see is that a lot of people will continue to calculate net cash without including the term deposits, which basically means that their net cash calculations will be $14.6 billion, too low and therefore, their EV calculations, $14.6 billion too high. Going forward, would it not be possible to replace the cash and bank balances line in the balance sheet with total cash and deposits just to make life easier for people and kind of make sure that they correct numbers – they calculate numbers correctly?
Patrick Jany: Hi Rob, it’s Patrick here. Thanks for taking care of, let’s say, our reporting here, but I am sure that we have an educated audience as well, who is able to go through. We actually added a note on Page 26, its Note 2, which specifically mentions the short-term deposits. Just for reporting purposes, you kind of put those two things together, right. So, it needs to be on separate lines, and I hope that people can add the line. And if not, they can always come back to us to have this. But we will continue with that table just if people lose track of it, but it’s a fairly easy calculation, a very standard table to do, so I would expect people to be able to do that.
Operator: The next question is from the line of Marc Zeck from Stifel. Please go ahead.
Marc Zeck: Hi. Thanks for taking my question. Just a quick on the share of long-haul contract volumes and you disclosed it’s still at 71% this quarter. Could you get a bit on what you expect this figure to stand in the fourth quarter, or would you expect it to be flat versus third quarter or to be down a bit in the fourth quarter? Thank you.
Søren Skou: I think the best assumption will probably be a flat development.
Operator: The next question is from the line of Alexia Dogani from Barclays. Please go ahead.
Alexia Dogani: Yes. Good morning. Thanks for taking my question. Just following up on the earlier discussion on kind of EV and sort of clearly the market is not kind of giving you any benefit for the cash distribution of a dividend. Have you considered kind of what is the best avenue to return cash to get rewarded for that cash generation in the market? And given Patrick’s comment around the 6% post normalization, I mean I inferred there could be some undershooting as there was overshooting. Is there kind of a case to make that it might be best to keep the cash for a rainy day ahead? Thanks.
Patrick Jany: No. Thanks for your question. I think it’s – look, the market has valuation, and the market is evaluating it as it wants and that’s fine. I think if you look at our position here, it’s very clear that we have had exceptional returns to shareholders. In the past, we will continue to do so. And therefore, it’s quite an attractive investment here. What we see is that the best thing we can use the cash flow is actually investing in our strategy, right. It is to foster organic growth and complement it when it fits with acquisition as well as we have done in the past. And I think as you rightly mentioned, I think looking at the recession – worldwide recession ahead, which we all don’t know how long it will last, higher inflation and the whole economic environment here, it is probably a good thing to be on the safe side and have a strong balance sheet, which allows us to continue to implement the strategy, have the necessary headroom in terms of financing and be able to take as well when needed the necessary action or seize the opportunities when they come to further grow in our strategy. So, that is really where we see the big use of cash, while as you know, maintaining our quite rewarding policy in terms of our returns. We have committed to $12 billion share buyback accounting this year. So, by the end of the year, there will be $9 billion to go. And our dividend policy is between 30% and 50%, which I will leave you to take the percentage you want. But in any case, it will be quite a strong return to shareholders looking for the next quarters ahead. So, from that point of view, I think it’s a tremendous dedication of our cash amount to return to shareholders, while leaving us enough headroom to really tackle what could be 2 years, 3 years of troubled economic environment in which we will continue to invest and grow our strategy.
Operator: The next question is from the line of Andy Chu from DB. Please go ahead.
Andy Chu: Thank you. Good morning. Just in terms of logistics, which is a big part of your strategy and the build-out of logistics. It looks like the margins organically have fallen by about 300 basis points to 5%. So, I just wondered if you could just help us sort of break down that to step down in a little bit more sort of granularity. I understand there are things like amortization of intangibles, but clearly, operationally, there has been a slowdown impacting margins. Thank you very much.
Patrick Jany: Yes. So, we have – we are in a very strong growth phase here in logistics. And as we highlighted in the presentation as well, you are absolutely right, that margins came down to 6.2%, EBIT from 7.5% the year before. So, still above our guidance, which is 6%, right, and that one stands. But clearly, we have had a lot of traction from our customers. We have been implementing, for instance, new warehouses in contract logistics and so on, which always there is a ramp-up cost for that. And some softness has been seen as well already within – in managed by Mærsk as we highlighted in logistics, some weakening in the U.S., so in terms of activity. And clearly, e-commerce is not as profitable as it used to be a few quarters ago. And that has certainly impacted as well our P&L. So, if you look at the long run, these are absolutely important developments and good products where we see that there is a demand for it and will continue to grow. But you do have – given the economic environment, some ups and downs as well in some areas of that offering that we have. And that explains the reduction now on the quarter. But we are very confident to continue to grow the business at a nice profitability going ahead.
Operator: The next question is from the line of Michael Vitfell-Rasmussen from Danske Bank. Please go ahead.
Michael Vitfell-Rasmussen: Yes. Thank you very much. A follow-up question, Søren, on the comment you made earlier in terms of the logistics share of the business in the middle of the century. I was just wondering, is that based on organic growth alone or also further acquisitions towards the middle of the century here?
Søren Skou: It would be – I mean we haven’t made all the calculations down to the last detail. But if you take what we have today, including the acquisitions we have already made, but excluding any new acquisitions, then it’s not inconceivable that that’s where we could be. We will see.
Operator: The next question is from the line of Parash Jain from HSBC. Please go ahead. Mr. Parash Jain, please un-mute your cell phone.
Parash Jain: Sorry, yes, can you hear me? Hello?
Patrick Jany: Yes, we can.
Parash Jain: Yes. So, my question is given next 12 months would be challenging for the economy, what are some of the cost levers that Mærsk can pull to ensure a certain level of profitability? I mean clearly what it is, but with respect to, I don’t know, return of charters, some of the underperforming assets disposal. If you can talk on each of the businesses, some of the cost levers that are within your control, which you can pull if we go into a deeper recession next year?
Patrick Jany: Thanks very much. A very important point, which we are obviously looking at as probably most companies now. So, as we touched upon on the ocean section earlier on, we do certainly have actively now looking at cost positions. We will have some congestion-related costs, which will come down as volume are coming down and that will relieve the P&L in 2023. On the other hand, we highlighted that you do have higher labor cost. You do have higher terminal costs and the time charter will remain elevated for a good ‘23 and then come down progressively in ‘24, ‘25. So, you will have a different dynamic here of the cost elements. But obviously, we are on it. And obviously, there is always room here to get efficiency up as well, which wasn’t the highest during the congestion time. So, if you add the efficiency measures, we typically always do and cost position expected to come down because of just a more fluid operation compared to the past, we will have a relief on that side. But some cost elements are there to stay, right. Inflation is there to stay. Labor, as well. On the logistics side, we will obviously continue to grow. So, that will be more an increase in productivity as clearly, we are learning and getting the job done better every month. We are improving our systems. We are having a better reach to fulfill our customers’ needs, we get more efficient. And that will be the main driver, I would say, of profitability improvement in logistics despite a higher cost environment in the years ahead.
Søren Skou: Maybe I can just add to that. I mean we are investing a lot in the Czech platform that we have for all of our products. And we are seeing customers continue increasingly to self-serve on mærsk.com. And those effects will be on the productivity, particularly in logistics, where we will be able to continue a relatively high pace of growth, but adding fewer and fewer people to manage that growth.
Operator: We have another question from Muneeba Kayani from Bank of America. Please go ahead.
Muneeba Kayani: Thanks for taking my follow-up question. Patrick, I just wanted to follow-up on your comment on balance sheet that you want to maintain a strong balance sheet, given the macro uncertainty. What do you mean by that? Like would you look to maintain a net cash position, or is there a specific net debt-to-EBITDA leverage ratio that you would kind of look to maintain when thinking about cash return to shareholders? Thank you.
Patrick Jany: Yes. Thanks for your question. I think as we have highlighted earlier on, it is really our policy to be solidly investment grade, so solid BBB, which currently obviously looks a little bit out of scope because of the cash balance we have. But if you look at the investments ahead and the years ahead, clearly, it’s a position, which marks the lower line of where we want to be in 2025, assuming now, let’s say, 3 years of downturn in terms of economy worldwide, which obviously, we will see how long it lasts and how deep it is. But that’s certainly what we are prepared for. And that gives us precisely enough headroom to continue to invest and grow in the business as we want to grow in.
Operator: We have another follow-up question from Ulrik Bak from SEB. Please go ahead.
Ulrik Bak: Yes. Thank you for taking my follow-up question. On your contract negotiations for ‘22 – ‘23, what is the demand like for contract versus spot compared to perhaps a year ago? And what is your target share of contract for ‘23, if you have any? Thank you.
Søren Skou: We expect to have a similar level or even higher level of contracts in our total book of business in 2023. I mean our contract customers, they are equally interested in having a long-term commitment with us as they were in 2021 and 2022. So, there is no change in that. Obviously, we are negotiating contracts in a different environment than we did a year ago. So, I think it’s a fair assumption that we will see lower rates in the contracts, but there is no change in the value of being able to offer contracts.
Operator: The next follow-up question is from Dan Togo Jensen from Carnegie Bank. Please go ahead.
Dan Togo Jensen: Yes. Thank you. And also here, maybe on guidance, last year at the Q3, you did provide or allude to at least the Q1 ‘22 level for EBITDA to be on par with Q4. This time around, you refrain from doing that. I understand there was some increased uncertainty in the Markets Day. But could – is it possible for you to give some wording on this how we should view the startup of ‘23 from what you can see now? Thanks.
Patrick Jany: Yes. Look, it is absolutely in line with our policy not to guide for the year ahead before the full year results, right. So, we will not guide on ‘23 before coming out with our full year results. What you see in the rate already, right, that we are guiding for lower Q4. And as we just indicated, we are just entering a new phase of negotiation in a totally different environment. And that is the environment we are in, and we will be happy to guide you as soon as we have visibility on that, which will be then start – early start next year.
Operator: We have another question from Robert Joynson from BNP Paribas Exane. Please go ahead.
Robert Joynson: Yes. Hello everybody again. Just a question on working capital, please. The outflow has been about $5 billion since the beginning of last year, Mærsk generally sees a working capital inflow in Q4. Could you maybe just talk about whether that is likely to be the case this year as well? And then just more broadly, looking into next year, I appreciate working capital will depend on freight rates, and therefore, it’s quite subjective. But in general, would it be reasonable to assume that a significant share of that $5 billion outflow is recouped by the end of next year?
Patrick Jany: I think you are right from the movement, right. Clearly, I would say in Q4, we tend to have a decrease in working capital. And there is no reason it shouldn’t be the same this year, particularly when actually the demand comes down and we unwind accounts receivables as well. And as we enter a phase of lower revenue in ocean, right, with lower rates, I would expect as well that receivables for next year will come down, but we will guide on that on full year. But from the global environment, you are certainly right from the big movements.
Operator: In the interest of time, we have to stop the Q&A session, and I hand back to Søren Skou for closing comments.
End of Q&A:
Søren Skou: Yes. Thank you for listening in today. As we close the call, let me leave you with a few final remarks. I mean we are obviously very pleased about the – delivering the 16 quarterly results with progress. It’s driven by continued exceptional market conditions, but also fundamental progress in our transformation strategy. This quarter has seen the long expected normalization in ocean begin. And with that, we have seen – we believe we have seen the peak of our average rates in ocean in this quarter. This normalization has been a long time coming, and we are very confident that we are going to meet our full year guidance at this point. There are no doubt that we have a challenging year or years ahead of us as we – as the world faces a combination of geopolitical uncertainty and inflationary pressure that we haven’t seen for quite a number of decades. It gives us very strong comfort that we ended this period with a very strong balance sheet. We know that in order to realize our purpose of improving life for all by integrating world, we must stick to our transformation strategy. And we certainly continue to believe that we will see lots of growth in Mærsk driven by the logistics business. We are keenly aware of the discipline required in the downturn, and we are committed to our vision of leading the way in decarbonization and becoming the integrator of container logistics. We are prepared to weather the storm, and we will emerge even stronger. Thank you.